Tobias Erfurth: Good morning, and welcome everybody to our analyst and investor Q&A call on the occasion of the publication of our Group Statement for the period January to September 2017. As you already know, we have decided to scale down our reporting, focusing mainly on sales and EBITDA for Q1 and Q3. With me is our CFO, Olaf Klinger who will take the lead for this session. Over to you, Olaf.
Olaf Klinger: Thank you, Tobias. Good morning everybody, and warm welcome also from my side. Maybe to start, Tobias made me aware that we had a slight problem this morning to have the full reporting package online on time that shows that the human beings involved. And these human beings were also responsible for giving us an outstanding third quarter. And I would like to make a few comments before we enter into Q&A. As you can see on slide two, Symrise continue to outperform the flavors and fragrance market on a very healthy margin level. For the first nine months of 2017, the Group reported sales of €2.3 billion, which is a plus of 3.9% compared to the prior year period. Organically, and that’s important, sales grew by 6.5%, which is at the upper end of our long-term guidance and a strong signal to the market that our growth story is fully intact. In Q3, isolated we even achieved an outstanding organic growth of 9.1%. The portfolio effect of minus €37 million or 1.7% minus comprises the sale of Pinova’s Industry Application business and the acquisitions of Nutraceutix and Cobell. As already indicated during our H1 call, FX became a bigger headwind in Q3, leading to a negative FX effect of around €20 million or minus 0.9% on a nine months basis. This was even €30.4 million negative or minus 4.2% for Q3 only. The main reason for this was to quick devaluation of the U.S. dollar against the Euro. We expect this trend to continue in Q4. But we’re slightly less impact compared to the very high impact of Q3. Looking at earnings, Group EBITDA rose by plus 1% to €485.2 million, which corresponds to an EBITDA margin of 21.3%. I will comment on the drivers for our profitability in a second when we talk about segments separately. EBIT rose by 2.3% to €337.2 million, representing a margin of 14.8%. Please turn to the next slide, slide three. In Scent & Care, we saw demand picking up in the last three months, leading to reported sales of €960.1 million for the nine months period. Organic growth came in at 3.3%, driven by a very strong third quarter with organic sales growth of 7.7%. The sales performance was supported by all three divisions. Cosmetic ingredient showed the strongest growth, mainly driven by the active business and fragrance. Fine fragrance continued it’s very strong performance of the first six months, particularly in Latin America. Home care and oral care, on the other hand, saw a revitalization in the third quarter, leading to moderate growth for the nine months period. The application area of Beauty Care also saw increased demand in the third quarter, particularly due to wins with existing and new clients in Europe and Asia Pacific. Adjusted for the Pinova portfolio effect, the Aroma Molecules division posted moderate growth too. The integration of the Pinova fragrance business continues to strengthen the Symrise Group to a broader portfolio of natural ingredients, which is reflected in the good track record of the new core list wins in Scent & Care. Looking at earnings, Scent & Care EBITDA amounted to €196.2 million for the nine months period. The margin at 20.4% was equal to the normalized level of the first nine months of the previous year, but improved noticeably compared to the first six months due to stronger demand. In Q3, it stood at 21.1% compared to normalized 19.3% for the third quarter of 2016. Before you asked about one-offs that incurred in Q3, the impact of hurricane Irma in Florida was around €1.6 million. Coming to our Flavor segment on slide four, we saw an increase in sales by 8.6% to €842.6 million. Organic growth amounted to impressive 10%. However, please bear in mind that this growth rate is driven both by price and volume approximately 50-50 for Flavors. The portfolio effect shown on the slide stemmed from Cobell, the beverage company we acquired in the UK and which is consolidated since July. Overall, demand was driven by all three business units. In EAME, Sweets and Savory were particularly strong in the first nine months, whilst in Latin America, Beverages made a significant contribution. Asia-Pacific continued less dynamic also due to strong prior year comparables, but showed good momentum in certain markets like Japan, Vietnam and the Philippines. North America reported healthy increases in all application areas. Coming to the segments’ earnings, Flavor EBITDA amounted to €183.4 million in the first nine months. The margin at 21.8% was slightly lower, mainly due to higher research and development expenditures and the consolidation of Cobell. As a side note, Cobell is fully consolidated since July 1 and the integration is proceeding as planned. As you know, we acquired the business at a lower margin but are more than confident to bring them up to Group level in the future. Let’s move to slide five for Nutrition. Nutrition reported sales of €475.7 million for the first nine months. This corresponds to plus of 13.5%. Organic growth again came in at 7.8% slightly below half year. First, our Probiotics business has experienced temporary destocking by one of the major customers that also impacted our result in Q3 as they are fully consolidated. The underlying business performance, however, is well on track. Pet food posted high single-digit or even double-digit local currency sales increases in all four regions and food showed a strong performance, particularly in Latin America and Asia-Pacific. EBITDA for nutrition rose by 8.7% to €105.6 million despite increased expenditures for the capacity expense in Diana Foods in the U.S. investments in the expansion of Pet Food footprint, as well as margin dilution effect through Nutraceutix. The margin remained high at a level of 22.2%. This compares to 23.2% for the nine months period last year. To sum up on slide six, we can say that 2017 so far has been a very successful year. We continued our growth track with industry leading organic growth of 6.5%. EBITDA margin remained at a healthy level of 21.3%, taking into consideration the ongoing investments into R&D, capacity expansion, as well as reaching our footprint expansion, which we are currently undertaking. For the full year, we are now aiming to significantly outperform the relevant market, which is projected to grow at a rate of about 3%. This very strong growth we aim to achieve at an EBITDA margin of over 20%. Our medium term targets set until the end of the fiscal year 2020 remain fully intact, including the compound annual growth rate and the 5% to 7% range and an EBITDA margin between 19% and 22%. Thank you very much for your attention for the moment. And I turn it back to Tobias for Q&A.
Tobias Erfurth: Thanks, Olaf. Turning to Q&A. We are now happy to take and answer your questions. And like always, we kindly ask you to put only two questions. If you cannot take all your questions during the conference, we will answer the remaining questions later today. So many thanks and first question please.
Operator: Ladies and gentlemen, at this time, we will begin the question-and-answer session [Operator Instructions]. The first question comes from the line of Heidi Vesterinen with Exane BNP Paribas. Please go ahead.
Heidi Vesterinen: So, a question on the Scent & Care margin. You have been talking for sometime about price pressure from customers who are cost cutting, and your peers have talked about recently as well. What is the latest on this? Is it stabilizing or do you find additional pressure with new contracts that you’re striking. And a related question to that, IFS was talking yesterday about starting to see inflation on the fragrance side. Do you see that as well and how comfortable are you of passing those on? Thank you.
Olaf Klinger: Good morning. So the price pressure remains in the way that we see hardly any price impacts coming through. The growth we see is completely volume driven at the moment. So from that you can take that it continues to be a challenging environment. There is tough discussion negotiations in this space. I think we see that specifically still in beauty care and specifically also in North America. But the important part is really that we turned it around across the Scent & Care including beauty care. So there’s a good momentum now as we promised in the second quarter call. This is a consequence of the core list wins, which we have seen and we are optimistic that this will continue. But as I said, it’s a tough environment and price negotiations are quite challenging at the moment. Nevertheless, I think we managed and some cost measures are also taken so that the margin improvement, which we have seen in third quarter is quite good and in line with what we forecasted earlier this year.
Heidi Vesterinen: Do you expect inflation later in the year or into next year in the fragrance side?
Olaf Klinger: No, I don’t see that at the moment that it should come to in a severe way, couldn’t confirm that at the moment.
Operator: The next question comes from the line of Tom Wrigglesworth with Citi. Please go ahead.
Tom Wrigglesworth: Just following up there on Scent & Care, you said obviously most of the organic growth was volume driven. Is that commensurate with the increase in number of briefs that you’ve pitched for, or do you think there could be some one time benefits coming through in this particular quarter to drive that very good growth. And the second question, if I may, around Penova. Can you elaborate a little bit on the margin performance of Penova in the third quarter. Obviously, we’re expecting that to pick up. But I wonder if there was any improvement, a step change in Penova margins in the third quarter? Thank you.
Olaf Klinger: Tom, thank you for your questions. We don’t see that as one-time effect in Scent & Care. As we elaborated before, we have seen a good run of call list wins over the last 12 to 18 months and takes time to bring this through. I think we have certain positive momentum shown already in Q3, but that should continue as we work on the briefs in relation to the new call list over the coming months, quarters and hopefully years. So anyway, I think, we have a good recovery in Scent & Care and we are quite optimistic that this should continue also, going forward. In Penova, we see progress on the process improvements, which we have initiated over the last now 12 months. We had a slight impact on the margin side coming through the reevaluation of existing inventory and that’s related to process improvement. So the clear indicator that we ase making good progress in Pinova on the margin side as well. And that overall helps us to make our product portfolio even more attractive in the Scent & Care environment. So the overarching rationale for this very strategic acquisition come through more and more, and makes the whole portfolio of Scent & Care quite appealing to customers, and we see good response in this regard.
Tom Wrigglesworth: So, just as a follow-up, as you’re expecting exit rate of margin for Penova right around 14%. Is that realistic for 2017?
Olaf Klinger: I think we have not commented on the Pinova specifically, because it’s diluted across the Fragrance and Scent & Care overall activities. So I hesitate to go into specifics and pinpoint to Pinova. I think you see the whole environment in Scent & Care improving in the third quarter, and you should take as the indicator for us that this acquisition is helping us at the moment quite a little bit to improve the situation in Scent & Care.
Operator: The next question comes from the line of Daniel Buchta with MainFirst. Please go ahead.
Daniel Buchta: Congratulations to the good results. Two question also from my side. The first one, I know you don’t disclose it for Q3 results anymore. But if you could say a word on the free cash flow. I mean, the first half was very strong with free cash flow. Is it likely to assume at least that there is no net working capital inflow anymore, so that the free cash flow for the full year should remain stronger than we have seen in the past years? And then the second one, I mean you are now the -- basically the third one in the F&F industry reporting accelerating organic trends. Croda also improves the cash owned significantly acceleration. Do you see this on a broad basis with customers and being more optimistic again hiring more or ordering more products? And how is this behaving with the multinationals, especially which were showing struggling performance in the recent quarters? Thank you very much.
Olaf Klinger: Thank you for your questions, Daniel. So on the free cash flow, I would like to avoid any comments, because we have streamlined the reporting in this regard, which is not an indicator that anything goes in the wrong direction. But take it as the reporting package we put out for the nine months period. Otherwise, I would give indications, which are not relevant to everybody. So please wait for the full year picture and then I will comment on the free cash flow development. Now, when it comes to the growth, I think, you should look at us as the driver of the growth compared to the competition in the market. This is how we have positioned Symrise. And I think what you see at the moment is that this very good application portfolio is quite helpful for us to make us attractive. And that’s why we are very, very confident to deliver on the strong organic growth profile of 5% to 7% also, going forward. This is the environment that we are working at Symrise, and we see at the moment that this quite unique portfolio of activities is helping us to deliver. And the third quarter is a clear indicator that we can deliver, which is across the board. There’s probably a little bit exception in the North American environment when it comes to Scent & Care. That’s still with the multinational challenging environment. But I would quote this as the only exception where we are hoping to improve in further, going forward.
Operator: The next question comes from the line of Fintan Ryan with Berenberg. Please go ahead.
Fintan Ryan: Just two questions from me, please. Firstly, I think you mentioned in the prepared remarks about one-off impact of the hurricane of €1.6 million in Scent 1& Care. Is that, just to be clear, is that an incremental impact from this year, the hurricane this year? Or was that related to another with some issues at this stage last year with the hurricanes. Then I just want to just get a sense like what line underlying trend is, and is this an incremental versus last year. And then just in terms of the margins within the flavors business. Could you cite aggregate of the roughly 200 basis points decline in Q3? How much of that was due to Cobell and how much is due to higher R&D investments? And actually as a follow on within the volume growth you saw in Q3, I think, some of your competitors have talked about and maybe some one-off volume increases in flavors around some seasonal launches. Is this something that you’ve seen or do you think this underlying volume momentum can continue into the following quarters? Thank you.
Tobias Erfurth: Yes, you’re right. We have the hurricanes in Q3 and Q4 last year, and the impacts there were quite more severe. As far as I remember we have $3 million in Q3 2016 now its $1.6 million from around a week of standstill, which we have in the sites there, which you have to close down because it was mandatory, because of evacuation. So in that regard, yes we have this not in the same magnitude, but it was there and therefore we highlighted that. Of course, this is nature and we can only hope that for the rest of this year nothing else will happen and it doesn’t look like at the moment. So in that regard, take that as one time which we can flex for Q3. On the flavor margin side, the Cobell impact from a flavor perspective was visible, I would say. R&D is something we are investing in at the moment quite heavily and a lot of different projects where we improve topics like test modulation, where we work on Halal solutions, where we have clean labor initiatives and all this feeds into the R&D space. Your question regarding the volume growth, we see good momentum still on the volume side, but the outstanding growth of flavor in the third quarter was more than 12% organic is of course not the new normal. We should not expect that growth ratio in the same magnitude, going forward. However, from today’s perspective, we had again a good start into Q4. And therefore, I’m pretty optimistic that we will deliver outstanding growth in 2017.
Operator: The next question comes from the line of Patrick Lambert with Raymond James.
Patrick Lambert: Good morning and congratulations for Q3 very good. A few questions from me, they are all pretty simple. I think can you split actually with volume price development in Q3 by division. You said nothing in Scent & Care in terms of prices, but in terms of nutrition and flavors in particular. If you can do that, that’s my first question. And the second question regards the impact of the -- client destocking on margins, in particular. Overall, for Probiotics franchise, could you quantify the impact on margins? I know that you don’t disclose by sub-segments, but if you can put some color on that. And the last one very simple also, Cobell. Is that any seasonality we should think about the beverage business going into Q4? If you can help us have a bit of a sense of how Cobell sales shape up in the year. And following to that for me is the only contribution to M&A next year. Is that correct? I think all others are fading away. Thanks for the questions.
Olaf Klinger: Actually, these are four and more questions, but let’s try so volume price by segment. From a group perspective, we pretty much see the same picture as in the half year call. So it's around one quarter price and three quarter of volume for the group overall. But this is a very heterogeneous picture across the three segments. As I mentioned, Scent & Care is basically no price, but volume only. For flavors, we see around 50%, maybe little bit less price and 50% and a little bit more volume. And for nutrition, the picture is around one quarter price and three quarter is volume driven in this business.
Patrick Lambert: And as you put flavors is vanilla based and citrus essentially?
Olaf Klinger: Its vanilla and its citrus this is topic at the moment. So you have some raw materials, which are inflated at the moment with our very good vanilla business, of course this is the most prominent element, which drives the picture. On the Probi question your raised, I think this is public information. So I think it's all out there and the communication from Probi was that this one time customer destocking situation impacted them with €5 million around in Q3, which I think an even more severe situation in Q4. So you will find this if you look it up.
Patrick Lambert: Yes, I was more thinking about the overall platform, because you have more in Probi inside your Probiotic sites.
Olaf Klinger: No, I think the probiotics activities are concentrated in Probi. However, we see a lot of application opportunities when it comes to our activities, and that’s the most strategic angle of Probi and our participation there. We’re working on quite a number of new product solutions to contribute to the profile of Symrise. But the core Probiotics activities are concentrated in Probi. Your question on Cobell seasonality, I don’t see that at the moment. So you should assume that the effect you have seen in Q3 is something we see on a quarterly basis for this Cobell business. And you find the information in our sheets of the portfolio effect. That’s the assumption for your analysis. And on the M&A side, yes you are right. Cobell would be, for the time being, the only impact looking forward.
Operator: Your next question comes from the line of Nicola Tang with Evercore. Please go ahead.
Nicola Tang: Firstly, on the acceleration that we saw in Q3 versus Q2 in both Scent & Care side but also in Flavors, can you comment on how much of that is being driven by multinationals versus local and regionals? Or has it generally been broad based across your customers? And then following up on the Probiotics question, on Probi, and it looks like from the comments that they are making that the destocking impact would have an impact on Q4 and on Q1 as well next year? Can you give an indication of what you think is the normal run rate for that business? Or I guess, more specifically, for Symrise, because you’ve indicated just now in your answer that maybe there's some interesting application specifically for Symrise? Thank you.
Olaf Klinger: So the acceleration we see is pretty broad. And given our diverse and good customer base with locals, regionals and multinationals or globals, I wouldn’t highlight any element where I see at the moment that we see more acceleration in this or that customer profile. This is the good and balanced business approach of Symrise that we can follow these trends. And there is nothing, which sticks out at the moment where I would say multinationals are going faster. It’s broad, it’s across the regions and it confirms our very well balanced customer profile, one-third, one-third and one-third is still what we see. On the Probiotics side, I hesitate to comment because we have Probi as a public listed company. And I think you should really ask the team there to address your questions and the expectation for Q4 and Q1 next year. For us and if you look at the numbers, it’s still relatively small share of our business. And therefore, I think this impact that we see now from a one-time customer impact is not dramatic from this perspective. The underlying business in Probiotics is very well on track with very good growth momentum still. So I think from this continues to be a very good investment, which Symrise has done.
Operator: Your next question comes from the line of Knud Hinkel with equinet Bank. Please go ahead.
Knud Hinkel: You mentioned the beneficial effect of vanilla prices for the underlying growth in flavors. I recently read about the outreg of pneumonic plague in Madagascar. Can you comment on the potential impact for your business in Madagascar and for the processing of in Madagascar in the vanilla? Thank you.
Olaf Klinger: So this is I think the disease, which what we call in Germany, The Pest, which you referred to. This is apparently in the main capital of Madagascar problem. Our activities are more geared towards farmers and rural areas. We have no indication at the moment that this disease will impact us or has impacted us over the last months. And hopefully, this phase, nevertheless, we provide protection to our employees in different areas, so we do everything we can in the country, which is definitely not an easy environment, but so far no impact for us.
Operator: Your next question comes from the line of Thomas Swoboda with Societe Generale. Please go ahead.
Thomas Swoboda: I have two related questions on vanilla, again. In terms of the margin development in flavors, is vanilla playing a role in the margin decrease you have seen. You do not mention it in the prepared remarks. I’m just wondering have you already compensated for the vanilla price effect, or is it still a drag. So that’s the first one. And the second one, this vanilla tailwind is quite a handsome tailwind. I’m just wondering going into Q4 and especially into 2018, when do you expect the base effect to kick in. I think it should be later in Q1. Am I mistaken, please? Thank you.
Olaf Klinger: Thank you for your questions. So the vanilla prices, is this a drag, that’s your question. We have communicated over the last few months that it’s very important to manage the customers in this regard very well. And that’s what we have done. And therefore, we have not a situation where the increase of vanilla prices is a burden in this regard. That is the important part. And I think looking at our teams we have managed that extremely well. And therefore, we have highlighted a few indicators, which put certain burden on the margin, like Cobell, like R&D. I can even refer to foreign exchange, which impacted the flavor margin due to the fast appreciation of the Euro. There was again an impact in Q3, including for flavors. And there is of course also a slight impact coming from very specific vanilla price development. We are running, of course, after the customers to put through the price increases. The important part is I think we have done this very well despite very severe price increase for this business over last 12 months to 18 months. So it’s a factor but it’s not, the most prominent one definitely, it’s a portfolio of impact, which we saw on the Flavor side and I think we have highlighted basically all of that now.
Thomas Swoboda: And the base effects?
Olaf Klinger: Of course. We have seen extremely high growth numbers in Flavors. And for this year, I think, we will see that continuing. But again and we said that several times. This is not the new normal for Flavors and it’s not the new normal for Symrise, overall. We stick to our 5% to 7% organic growth ambition and this is what we are aiming at. And from that, you should expect that this effect from vanilla in 2018 will be a little bit less than we’ve enjoyed this year.
Operator: The next question comes from the line of Chetan Udeshi with JP Morgan. Please go ahead.
Chetan Udeshi: Firstly on -- I think, you had previously mentioned about new wins in Scent & Care. Can you shed some light over all these new wins are already ramped up, or ramping up in Q3? Or will there be more incremental effect from some of the wins, which are not yet seen in Q3 numbers? And the second question I had was that apparently there is an outage in BASF citral plant in Germany. Would there be an impact on Symrise, either positive or negative from that in the short-term? Thank you.
Olaf Klinger: Yes, thank you for your questions. So yes we have these core list wins over the last 12 to 18 months. And as I indicated in my initial remarks, we have seen the first fruits of this coming through in Q3. But it takes of course time before you have the full offerings out to the customers. We are working on a lot of briefings at the moment. And therefore, the effect of new core list wins is something, which comes overtime. And from that, I expect that we will see more positive momentum coming out of these core list wins. So we are still in a ramp up phase with regard to these new customer portfolios. On the citral outage at BASF, I don’t see any impact for us. As we indicated before, we are basically sold out in our mental environment. And for that, at the moment, we should not see any extraordinary windfall related to the BASF situation.
Chetan Udeshi: I have a follow-up on the question on Scent & Care. So what is the key delta between 1% or slightly above growth in first half of this year to 7.7%? So is it just the market improving, or is the delta primarily because of the new wins that you have?
Olaf Klinger: It’s a combination we have in all three divisions, cosmetic Ingredients, Aroma Moleculesm as well as in the Fragrance area and improved situation in Q3. We have seen benefits coming through from core list wins in Fragrances still an extraordinary good momentum in fine fragrances. So it’s a combination, which you saw in Q3. And as I said on the caller side, that’s the certain upside, which we see and is part of the explanation for the good momentum in Scent & Care.
Operator: The next question comes from the line of Geoff Haire with UBS. Please go ahead.
Geoff Haire: Just two quick questions. First of all, can you just discuss, whether or not there was any restocking at the customers, particularly in Scent & Care, given the high organic growth? And secondly, the investments you’re making in expanding Diana and also in new products in the flavors division. What’s the pay back on that in terms of how long will it take before we start seeing benefits in terms of margin? Thank you.
Olaf Klinger: So thank you Joe for the questions. I don’t see any major restocking effect that’s more the environment, which we have enjoyed and as just mentioned in the Scent & Care portfolio. So as I said before, we’ve had a good start also in the first quarter, which makes us optimistic that this is an improved environment now. And therefore, no specific situation there. The Diana sites, the investments we are doing, some of them are relatively quick like looking at Columbia where we set up a new pet food plant currently that should come through some kind of next year. The big investment which we are doing in Diana and in the U.S. is our natural ingredients of plant. The effects there will come through starting in 2019. So we will see a year of investments ramp up next year, building the facility it's quite a huge investment from a Diana perspective. But 2019, you should see the impacts coming through. Normally, the Diana environment is something where you can expand your footprint with relatively small investments. And this of course has the short-term impact also when it comes to across the margin. But I would focus at the moment on the larger investment in the U.S., which will be with us next year.
Operator: The next question comes from the line of Elise Cowen with Davey. Please go ahead.
Elise Cowen: So firstly working capital, I know, you mentioned you didn’t want to comment on the free cash flow. But I just wanted to ask, and is the trend in Q3 similar to H1 so there was an increase in working capital in H1? And secondly, just in flavors and you know healthy growth momentum from Japan, Vietnam and the Philippines. If you could just maybe elaborate a little bit on what you’re seeing in those markets, specifically in terms of applications and growth drivers. Thank you.
Olaf Klinger: So as mentioned earlier, I think let’s keep the reduced reporting in place. Definitely, I will comment on the working capital for the full year extensively. Otherwise, this reduced reporting environment wouldn't make sense if we now deviate into other areas so much. In the Asian markets, you highlighted I think, especially Vietnam enjoys very good momentum at the moment in Flavors, specifically. This country is clearly benefiting at the moment and sticks out. Also, the Philippines quite well despite all the political circumstances there. So we highlighted these markets as we have done in the past, because they stick out at the moment and we are enjoying good growth in these countries at the moment. It’s due to the environment in these countries very often that we can take advantage of this. And especially Flavors is enjoying its position in Asia. We have opened a new research center in Singapore; so good platform and now we are harvesting investments which we have done in the past, also into people.
Operator: Your last question comes from the line of Ranulf Orr with Redburn. Please go ahead.
Ranulf Orr: Can you please elaborate a little bit on Nutrition? I think the like-for-like growth in EBITDA was a little bit below what people were expecting, and in the first half of the year. Is this run rate we should continue for the rest of the year and perhaps next year? And secondly, the Egyptian currency, I know it’s been a bit of a headwind for I think flavors. Can you quantify how much that have an impact that has been and whether you expect that to start annualizing from this month now? And if I may sneak a final one in, when you talk about the improving environment, can you be a little bit more descriptive as to what you mean by that? Is that consumer confidence? Is that -- if you just quote what you are meaning that would be very helpful? Thank you.
Olaf Klinger: Let me take Egypt first. So yes, we have quite a sizable business in Egypt. And if you follow the currency developments, you should see less impact in Q4 because what happened basically started already in Q4 last year and that it was my hint at the beginning of this call that we expect slightly less FX headwind, assuming everything will stay where we are in Q4 compared to Q3. And this is one explanation for that Egypt should improve from this perspective and help us. Nevertheless, it will be a severe headwind on the currency side, going forward. In Nutrition, just help me once again with the question?
Ranulf Orr: I think, the like-for-like and the EBITDA came in a little bit below what people were expecting and perhaps low than they have been in the first half. If you could talk around that and the expected continued run rate for the rest of the year that would be helpful?
Olaf Klinger: So I think a good part of our investments go into the nutrition space at the moment. We are expanding the business model of Pet food, especially. We are expanding the footprint of the pet food business around the globe there is some specific investments. And we are building new facility, which we discussed already in the U.S. So that will be with us next year. And therefore, you should assume that the current margin environment is something we would expect also going forward at least for the foreseeable period because of investments into growth. And I think these are good investments, which we have started and which we also enjoy from a growth perspective now, including in nutrition. The environment overall, as I said, we enjoy extremely the good growth momentum, which is a combination of market in a way but especially also how we have positioned Symrise over the last few months and years, which is very unique portfolio. And what you see is that we can deliver on our growth and the net working opportunities, which we have in our application portfolio comes through here. And that makes us so optimistic and positive that we can continue our growth story in this regard by being attractive and where we get the good response from customers. I would really highlight that the most important driver at the moment that we can really deliver on the growth story, which we have started and which we have probably proven quite impressively in Q3.
Ranulf Orr: Great, thank you.
Olaf Klinger: Very welcome.
Tobias Erfurth: Well, thank you. Olaf, thank you very much. Ladies and gentlemen, this brings us to the end of our today’s conference call. Thank you very much for your time and to your interest in Symrise. We are looking forward to meeting you in person in one of the upcoming conferences and our roadshows. Full year results will be published on March 14, next year. Good bye and thank you again.